Operator: Hello ladies and gentlemen. Thank you for standing by for the second quarter 2019 earnings conference call for HUYA Inc. At this time, all participants are in a listen-only mode. Today's conference call is being recorded. I will now turn the call over to Ms. Hanyu Liu, company Investor Relations. Please go ahead.
Hanyu Liu: Hello everyone and welcome to the second quarter 2019 earnings conference call of HUYA Inc. The company's financial and operational results were issued earlier today and are posted online. You can also view the earnings press release by visiting the IR website at ir.huya.com. A replay of the call will be available on the IR website in a few hours. Participants on today's call will be Mr. David Li, Chairman of Huya, Mr. Rongjie Dong, Chief Executive Officer and Mr. Henry Sha, Chief Financial Officer. Management will begin with prepared remarks and the call will conclude with a Q&A session. Before we continue, please note that today's discussion will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's results may be materially different from the views expressed today. Further information regarding this and other risks and uncertainties is included in the company's prospectus and other public filings as filed with the U.S. Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements except as required under applicable law. Please also note that Huya's earnings press release and this conference call include discussions of unaudited GAAP financial information as well as unaudited non-GAAP financial measures. Huya's press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures. I will now turn the call over to our Chairman, Mr. David Li. Please go ahead.
David Li: Thank you. Hello everyone. Thank you to join Huya's 2019 second quarter earnings conference call. We have track record of topline growth and seven quarters continue the profitability. Huya is now well-recognized as the number one game live-streaming platform in China. I am impressed by Huya's second quarter as another quarter with outstanding financial and operating performance, pursuing great opportunities in the e-sport market in China and in global. We are still beating revenue milestone and fast-growing MAUs in the second quarter have once again reflected the successful execution of the company's strategies. I have been engaged in the live-streaming industry for years and I am confident that Huya will remain a leader and still across revenue, profitability on the mobile MAUs. I am also confident about it's margin expansion in the long term. With it's overseas strategy serve as a further growth engine, I believe that we are with differentiation strategy will create long term value for our shareholders. Now I would like to pass the call over to our CEO, Rongjie, to go through the second quarter results in more details.
Rongjie Dong: Thank you David. Hello everyone. Thank you for joining us today. We are very pleased to report strong operational and financial performance for the second quarter of 2019. Regardless of inactive seasonality, the second quarter is standout with accelerating MAU expansion, significant revenue beat and a better-than-expected profitability which demonstrated the healthiness of our growth. To illustrate, revenue in quarter two grew 93.6% year-over-year, surpassing the RMB2 billion mark for the fourth time. The surge in revenue exceeded the high end of our guidance range by more than 12%. The MAU in domestic market also grew faster than our expectations reaching 143.9 million which is 57.3% growth year year-over-year. Counting in MAU of our overseas business unit, Nimo TV, I am encouraged to announce that we have already achieved the user growth target set previously for fiscal year 2019 by reaching approximately 168 million global MAU on the corporate level. The better-than-expected growth further showcases both the effectiveness and the efficiency of our strategies, including e-sport market penetration, content diversification and the technology improvement. Those strategies increasingly boost the participation and the encouragement of both users and the broadcasters on our domestic platform. Mobile MAUs remain a robust driver behind our strong quarter two performance and they grew to 56 million, up 31% year-over-year and 4% quarter-over-quarter, still contributing more than 80% of live-streaming revenues. By engaging with a vast number of Tier 1 broadcasters from mobile game sector, especially in Honor of Kings and Peacekeeper Elite, Huya has established our dominate position over the major competitor in Chinese mobile game broadcasting since first half of 2019. It is also worth noticing that non-mobile MAUs, which include both PC and the web active users, achieved an 80% year-over-year increase and 26% sequential increase, attributable to our cooperation with several leading gaming studios, especially to the pop-up streaming feature built in Cross Fire and the QQ Speed in this period. The growth of non-mobile MAUs has shown the improved PC and web user experiences and the traction gained by e-sports tournaments broadcasted on our platform in quarter two. In this quarter, our paying user number grew 46.7% year-over-year to 4.9 million, but experienced a certain degree of sequential volatility due to three factors. First, seasonal variations in user activities and user growth traditionally exist between quarter one and quarter two. Compared with quarter two, quarter one usually celebrates spikes in user numbers due to Spring Festival campaigns and school holidays. If we exclude quarter one 2019 and examine the growth trend between quarter four 2018 and quarter two 2019, we can find that the paying user base maintained its growth vitality Secondly, while our platform acquired a large number of new users in quarter two, this incoming traffic had not yet been fully monetized. Thirdly, in Q2, we were making product upgrades to concentrate more resources to support the new commercialization initiatives which can drive long term sustainable growth. We have achieved noteworthy progress in product strategy to monetize the new traffic gained from the prior periods as we have been seeing the accelerated growth of the paying user base in quarter three so far. E-sports is at the core of our content ecosystem and the vibrant community base of game enthusiasts, gaining viewer popularity at a faster pace. In the second quarter, we maintained robust vertical relationships across gaming companies and broadcasted 95 e-sports tournaments covering in-season major events such as MSI, LPL, LCK and KPL with over 620 million viewership compared with 460 million viewership in the year ago period. In the meanwhile, we continued expanding horizontal relationships across e-sports professional teams, developing high-quality content derived from the current lineup of e-sports events to meet viewers' increasing demand for content upgrades. For example, in June, we established a partnership with Team Liquid, which is a leading worldwide professional e-sports organization. Our effort in self-organized tournaments also paid off with promising results, generating viewership of over 72 million in the second quarter, which is even greater than the total viewership of 51 million in the first half of last year. In particular, our self-branded tournament, Huya Mobile Game Arena or HMA, has hit record high viewership in the quarter. Covering nine popular mobile games, including HoK, CFM, Battle of Balls and the QQ Speed Mobile. HMA has become one of the most comprehensive mobile game tournaments in China and has gained a lot of traction among game lovers. To strengthen our leadership in China, we are making efforts to broaden content offerings in addition to game and e-sports genres. Such progress aims to tap into crossover interest and appeal to not only the hardcore gamers but also casual gamers. In this spirit, we continued to see solid growth in MAUs and user time spent in both outdoor activities and anime content genres during the quarter with total viewing hours of each genre achieving around 100% year-over-year growth. Such growth was driven by the integration of professional user generated content or PUGC into our content library, featuring Huya's partnerships with over 2,000 Platinum talent agencies, a key competitive differentiator which illustrates our well-established content ecosystem. At the same time, our self-produced non-game professional generated content shows or PGC shows are progressing well through the efforts of content diversification. For instance, the Huya-backed PGC show, Anime Voice Acting Contest achieved two million live viewership in its first episode and created a social buzz across the domestic social network. Another PGC talk show, The Roast of Streamers, which invites top game broadcasters to join, has amplified the crossover effect by attracting game viewers to watch non-game content. In the second quarter, partially benefiting from the crossover effects of PGC, the average daily time spent on our mobile app continued to be around 100 minutes and the one-month retention rate of mobile users remained above 70% while maintaining a fast-growing active user base. With our popular and rich content helping improve the brand recognition of the platform, our advertising business saw increased demand from advertisers in the second quarter. In this month, we launched Huya's first advertising distribution platform to support the fast growing number of advertisers and their customized needs. The new advertising platform is a performance-based system that optimizes the advertising distribution process with precise targeting. As another crucial competitive differentiator, our international expansion roadmap is well on track. Nimo TV, our overseas game live-streaming platform, achieved approximately 15 million average MAUs in quarter two. Nimo TV also had its grand market launch event in Brazil in partnership with top local broadcasters, addressing the growing demand of massive gamers in the region. Leveraging off our first-mover advantage in the overseas market and the operation know-how in the game live-streaming space, we remain optimistic about our globalization strategy and believe that we can deliver long-term growth and sustainable returns. On the technology initiatives front, following the 5G solution cooperation with China Telecom announced last quarter, we further established a partnership with China Unicom to become one of its first 5G commercialization partners, jointly exploring opportunities for 5G and MEC application in the live broadcasting space. Moreover, using 5G tech and working with China Mobile, Huya recently made a VR streaming debut at a sport event in Chengdu. Also, more global AI talents have joined our tech team to enhance our competence to explore AI technologies in the field of deep learning, speech recognition and computer graphics. In considering the recent dynamics in competitive landscape, Huya is well-positioned to continue its leading role in China's game live-streaming industry. Implementation of our mobile strategy, new technology integration and efforts to diversify content are our growth initiatives firmly in the domestic market. As we recently upgraded our corporate logo, overseas expansion has become another key growth driver to enlarge our total addressable market in global e-sport industry. We were delivering solid operation performance when investing into Latin America and the Southeast Asia markets in the first half of this year. Looking forward, the third quarter will be another strong season as before. With our strength in commercialization and execution, we are confident to reaccelerate paying user growth to achieve more than 5.2 million in the third quarter and carry the traffic growth momentum in both MAU and mobile MAU up to the next level. Our long-term strategy will become the key differentiation within next two years and create long-term value to our shareholders. With that, I will now turn the call over to our CFO, Henry, to share the financial details.
Henry Sha: Thank you Mr. Dong. Thanks everyone for joining us on our second quarter 2019 earnings call. It's my pleasure to walk you through our financial results in the second quarter and the revenue guidance for the next one. We are excited to report that our Q2 quarterly revenues surpassed RMB2 billion, well above both on our guidance and the street consensus. Notably, we also achieved better-than-expected profitability. We are ready to carry the record-setting momentum in revenue into the second half of the year. To break down revenues and the drivers behind our growth. Live-streaming revenues sustained solid growth as evidenced by increases of 23.8% quarter-over-quarter and 93.7% year-over-year. On the other hand, with our enhanced brand strength, advertising and other revenues continued to grow rapidly by 91.3% year-over-year as game companies ramped up online marketing spend and non-game branding advertisers increased spending during mid-year sales. In Q2, gaming advertisers contributed more than 60% to our advertising revenue despite the increased content spending in both domestic and overseas markets. In order to strengthen our competitive edge, we maintain our gross margin at 16.9% on a non-GAAP basis in the second quarter of 2019 compared with 16.3% in the year ago period alongside continuous bandwidth cost optimization. Also in spite of higher spending in user acquisition from overseas markets, we still achieved non-GAAP operating margin of 5.8% in the second quarter compared with 5.5% in the year ago period, as increased sales and marketing expenses were partially offset by R&D and G&A efficiency improvements. I am glad that both gross margin and operating margin are better than management's expectations due to continuous operating leverage and future efficiency in domestic market. To further tap into the long term potential of e-sports in China and in global, Huya will continue ramping up content acquisition efforts, further penetrating the e-sports value chain, prudently investing our globalization strategy and staying tech savvy, especially with regard to AI algorithms as we believe it will tremendously improve the efficiency of matching users with contents. We will also enhance our sales and marketing efforts in the near term to be well prepared for the upcoming summer holidays and further increase brand awareness. Now let me briefly go over the financial results for the second quarter. Total revenues for the second quarter of 2019 increased by 93.6% to RMB2,010.5 million from RMB1,038.3 million in the same period of 2018. Live-streaming revenues increased by 93.7% to RMB1,921.5 million in the second quarter of 2019, from RMB991.8 million in the same period of 2018, primarily due to the increase in both the number of paying users on our platform and average spending per paying users. The increase in number of paying users was primarily driven by our mobile strategy, diversification of our content offering and continued efforts in converting active users into paying users. The increase in spending per paying user was primarily driven by the enhancements of content attractiveness and improvement in user experience and upgrade of product features. Advertising and other revenues increased by 91.3% to RMB89 million in the second quarter of 2019 from RMB46.5 million in the same period of 2018. The growth was mostly driven by increased demand from gaming advertisers and a further recognition of Huya's brand name in China's online advertising market. Cost of revenues increased by 92.1% to RMB1,674.8 million in the second quarter of 2019 from RMB872 million in the same period of 2018, primarily attributable to the increase in revenue sharing fees and the content costs, bandwidth costs as well as the increase in headcount of personnel involved in the operations of the company's platforms. Revenue sharing fees and content costs increased by 105% to RMB1,355.6 million in the second quarter of 2019 from RMB661.2 million in the same period of 2018, primarily due to the increase in virtual item revenue sharing fees, which grew at a similar pace with the company's live-streaming revenue and the continued spending in e-sports content and content creators in both domestic and overseas markets. Bandwidth costs increased by 21.5% to RMB195.7 million in the second of quarter of 2019 from RMB161 million in the same period of 2018, primarily due to the increase in bandwidth usage as a result of the increased user base on Huya's platforms and enhanced revenue live-streaming video quality improved, partially offset by improved efficiency in bandwidth utilization through continued deployment of new technologies in content distribution. Gross profit increased by 101.8% to RMB335.7 million in the second quarter of 2019 from RMB166.4 million in the same period of 2018. By excluding share-based compensation expenses, non-GAAP gross margin increased to 16.9% in the second quarter of 2019 from 16.3% in the same period of 2018, primarily due to technology innovation and bandwidth utilization, our enhanced monetization efforts and the continued leverage on economies of scale. Research and development expenses increased by 75.8% to RMB105.4 million for the second quarter of 2019 from RMB60 million for the second quarter of 2018, mainly attributable to an increased headcount of R&D personnel and share-based compensation expenses related to share awards granted since the second half of 2018. Sales and marketing expenses increased by 186.9% to RMB119.6 million for the second of quarter of 2019 from RMB41.7 million for the second quarter of 2018. The increase was primarily attributable to the increase in marketing expenses associated with our products and brand name in both domestic and overseas markets, including promotion activities for e-sports events and cooperation with various marketing channels. General and administrative expenses decreased by 16% to RMB74.3 million for the second quarter of 2019 from RMB88.5 million for the second quarter of 2018, mainly due to lower share-based compensation expenses recognized in relation to share awards vesting schedule, partially offset by the increase in headcount of management personnel. Operating income was RMB67.7 million for the second quarter of 2019 compared with operating loss of RMB17.3 million in the same period of 2018. Non-GAAP operating income, which excludes share-based compensation expenses, increased by 104.7% to RMB116.3 million for the second quarter of 2019 from RMB56.8 million in the same period of 2018. Non-GAAP operating margin was 5.8% in the second of quarter of 2019 compared with 5.9% in the first quarter of 2019 and 5.5% in the second quarter of 2018. Income tax expenses were RMB21.6 million for the second quarter of 2019 compared with income tax benefits of RMB6.1 million in the same period of 2018. Net income attributable to HUYA Inc. was RMB121.8 million for the second quarter of 2019 compared with a net loss attributable to Huya of RMB2,125.4 million in the same period of 2018. The loss in the second quarter 2018 was mainly due to a fair value loss of RMB2,273.4 million on derivative liabilities of preferred shares that existed before our initial public offering, resulting from the increase in Huya's enterprise value as indicated by the price of its IPO. GAAP net margin reached 6.1% in the second quarter of 2019 compared with 3.9% in the first quarter of 2019 and a negative margin from the same period last year. Non-GAAP net income attributable to HUYA Inc. in the second quarter of 2019, which excludes share-based compensation expenses and other one-off adjustments, increased by 61.7% to RMB170.4 million from RMB105.4 million in the same period of 2018. Non-GAAP net margin was 8.5% in the second quarter of 2019 compared with 8% in the first quarter of 2019 and 10.1% from the same period last year. Diluted net income per ADS was RMB0.52 for the second quarter of 2019 compared with diluted net loss per ADS of RMB13.7 for the same period of 2018. Each ADS represents one Class A ordinary share. Non-GAAP diluted net income per ADS was RMB0.73 for the second quarter of 2019 compared with RMB0.37 for the same period of 2018. Now turning to our balance sheet and cash flows. As of June 30, 2019, the company had cash, cash equivalents, short term deposits and short term investments of RMB9,112.9 million. We completed a follow-on offering in April and raised approximately $313.8 million in net proceeds to fuel the mid to long term expansion in the global live-streaming space. Net cash provided by operating activities was RMB569.9 million for the second quarter of 2019 compared with RMB105.6 million in the same period of 2018. The increase was mainly attributable to the improved profitability, reduced cash settlement period by directly settling with payment service providers for streaming business and the increase in accrued revenue sharing fees and content costs to be paid to content creators. We believe healthy operating cash flow is quite a significant for a tech company's sustainability in the fast-growing stage like us. Now business outlook. For the third quarter of 2019, Huya currently expects total net revenues to be in the range of RMB2,120 million to RMB2,200 million, representing a year-over-year growth between 66.1% and 72.3%. This forecast reflects our current and preliminary views on the market and the operational conditions, which are subject to change. This concludes our prepared remarks. We will now open the call to questions. Operator, please go ahead.
Operator: [Operator Instructions]. Your first question is from Hillman Chan from Citigroup. Please ask.
Hillman Chan: [Foreign Language] Thank you for taking my question and congrats on a solid quarter result and guidance. I have two questions. The first one is on the competition from Kuaishou and ByteDance and how it would impact the game live-streaming industry going forward? And my second question is on Tencent's expense on Kuaishou, Huya and Douyu and how we should think about Tencent's strategy in one to two years regarding the game live-streaming industry? Thank you very much.
Rongjie Dong: [Foreign Language] I would translate him. First, I would like to talk about our comparison with ByteDance. And to my half knowledge, I can say Tencent has actually taken some actions against ByteDance's use of their game titles in terms of licensing and copyrights. So we don't think ByteDance will create much of an influence over Huya's live-streaming. And also, we think the user base of Huya isn't really much overlapped with what is offered in ByteDance since they are part of a pretty mature video platforms. Regarding the potential competition with Kuaishou, I confirm that from a macro perspective, we remain optimistic in welcoming that Kuaishou is entering into the game live-streaming industry and with this massive DAU currently. I think the move is going to release up the top filling for the industry in terms of the user base by introducing the mass audiences into this specific sector. And with Kuaishou, our interest we are seeing by end of this year, the user base, the market size in terms of user base will likely to double by end of this year for game live-streaming industry. And probably you have to know that user acquisition cost for short-video platforms like Kuaishou, it's all over already than inviting, then the user that they are going to get through inviting top tier broadcasters. So with Kuaishou's entrance and we supposed that should be enlarge the user base, probably our acquisition cost basically to be more efficient as well. And also, we have already seen that over the past few quarters. Kuaishou has already made money through video live-streaming in the showroom business. And we don't really only think game live-streaming will create incremental revenue for them. So I hope that answers your question. Thank you.
Hillman Chan: [Foreign Language]
Hanyu Liu: For the Tencent's position in the competitive landscape of Huya and Douyu, we think from the perspective of Huya, what we can do is just to help Tencent regarding how to help maintain their position in the game industry as a whole.
Henry Sha: Yes. This is Henry. I am here to accommodate any question. So actually I think in considering the market dynamics and industry competitive landscape, I believe that now we are in the duopoly of the market and also seeing a very fast growth stage. So I think it's too early to comment on this question. Thank you, Hillman. I think that's all I will answer to your questions.
Hillman Chan: [Foreign Language]
Operator: Your next question is from Thomas Chong from Jefferies. Please ask.
Thomas Chong: [Foreign Language] Thanks very much for taking my questions. I have two questions. The first question is about our overseas strategies and the investments that we will undertake? And the second question is about content. Given we are strengthening our game and non-game contents, how should we expect the content investment going forward? Thank you.
Rongjie Dong: [Foreign Language] All right. Regarding the overseas strategy, currently the growth of MAU and other operating units is actually on track with management's overall expectations. And we hope that we can achieve the monetization of our overseas business unit in the second half of this year to maintain a healthy accrual system throughout the company. And also we hope that at some point in time next year, we will reach the breakeven point. And regarding how we are going to run the overseas business, we are actually keeping close eye on the leading streaming platforms in the States and Europe. And regarding these few regions, actually we are at the right time to enter into this regions when we are ready. And for your question about comparing what investments, they are actually to be mentioned. The first one is the e-sports. We have been actively investing into the e-sports related business including e-sports professional league club and MCN. And secondly, in addition to the e-sports that we are currently investing into, we are also eyeing on investment opportunity ACG as well, probably anime comics in the forms of either video or audio. So that's it.
Henry Sha: Yes. Hi Thomas, this is Henry. So I think our overseas expansion is on track. So as we just mentioned, the total MAU for Nimo TV has already been reached 15 million in the second quarter. And we haven't changed our target for the whole year. Yes. Thank you. That's all answers to your questions.
Operator: Your next question is from Wendy Chen from Goldman Sachs. Please ask.
Wendy Chen: [Foreign Language] I will translate myself. Thanks very much for taking my questions and congratulations on the triple beat results. I have two questions. First is on the paying user side. So we see that in this quarter, there are slight decline in absolute number of paying user Q-on-Q as well as on the paying ratio side. So I am just wondering first a question behind it and secondly, if there's any different contribution from mobile and the PC in terms of paying user? And my second question is for CEO on the full year guidance for the MAU. So previously we have been discussing that this year full year MAU can reach 140 to 150, including international MAU. So far, we have already achieved 144 million MAUs so far, much faster than we expected. So just wondering do we have set any new target for the year in terms of revenue growth? Thanks very much.
Henry Sha: Hi Wendy. This is Henry. Let me answer your questions. So for the first question, I think we just mentioned previously, but let me reconfirm. So first, we believe that the second quarter should be relatively the low season. So there is a seasonality factor because in Q1 there is quite a lot of like seasonal promotions and the Spring Festival activities. So paying user number is growing very fast. But if you compare the number in Q2 with that of Q4 2018, I think we still achieved the growth in terms of the paying user numbers. And secondly, as you can see, our second quarter MAU grows very fast rapidly. The company still needs time to monetize the new traffic introduced to our platform in the second quarter. And as you can see, so the user time spent with us is quite constant in the second quarter, still around like 100 minutes per mobile users per day, which means our core business still got very healthy, which is very encouraging that in Q3, we have been seeing that number has been reaccelerated, which has already surpassing 5.2 million or we are looking at to achieve the 5.2 million in the paying user numbers in Q3. So I think that's the answers to your questions about the paying user numbers. So about the MAU target for the year. Yes, I think we need to update our new target for MAU growth from like 150 million, including both domestic and global overseas market, to 170 million total MAU, including both all the platforms in our company in both domestic and overseas market. Thank you.
Operator: Your next question is from Alex Poon from Morgan Stanley. Please ask.
Alex Poon: [Foreign Language] I will translate my questions. My first question is regarding domestic business, the non-gaming segments. Can you give us some color of the top customer spending trend since beginning of the year on a year-over-year or sequential basis from January until today? And in terms of content, how do you operate content being differentiated from YY and Momo, for example? And also on a top customer user acquisition point of view, are they growing organically? Or they are held by talent agencies also? Regarding my second question is overseas and cash flow situation. Cash flow is very strong this year. It's annualized number is tracking more than RMB2 billion, almost RMB3 billion a year. What's the plan on spending the cash? And following up on this is overseas investments, how do you compare the strategy with YY's Bigo? You mentioned that short video user acquisition is much cheaper. Would you consider a similar approach? Thank you very much.
Rongjie Dong: [Foreign Language] All right. I will start with the question regarding the non-gaming content. As we have discussed earlier, we have actually produced this PGC shows and it's been gaining traction in the past quarters. Like the ACG Voice Award talent shows, Anime Voice Acting Contest an d a talk show that has a lot of streamers. They have actually been creating crossover effect of gaming and non-gaming together and it's actually gaining traction among the user base as well. So that's number one. And the second point is that the PGC shows that we have been actively conducting is improving much until the platform's reputation which also further gathered attraction from the advertisers as you might have also known that the non-gaming PGC shows is creating more business for the advertisers to increase their spending with us. And my last point is that the non-gaming user is actually taking 60% of the overall user base. And we have already seen that the MAU growth of the non-gaming content is actually catching up with the MAU growth of gaming content. And also among the non-gaming content diversification, we have already seen that outdoor activities and anime content is gaining traction as well with user time spent on year-over-year basis is actually doubling in this quarter.
Henry Sha: Hi Alex. This is Henry. I will help to address the rest of the question here. So about the payment trend that's actually from the top payers since the beginning of this year to now, I think that doesn't change a lot. Actually, I think the mid-tier to end, I mean the mid-tier, the core users, the payments, I think it's increasing. But top payers are spending, I think, relatively constant and slightly above our expectations steady growth but not very fast. I think to your question about our operating cash flow, I think, I guess, there are several reasons that why our operating cash flow increase far rapidly in this quarter and also in Q1. First, it's because I think we have an increase in our deferred revenue. And secondly, I think it's also we accrued some like the revenue sharing fees and the content cost to be paid in this quarter and for the three years that we changed the settlement message with our third-party to payment solution provider. So I think that should also speed up our payment and collection from our customers. But I think that's the reason why our cash flow got increased. And I think this will leave some like a room space of flexibility for our business to grow further, which we will think about to leverage that advantages on cash flows to further grow our business in those, like domestic and overseas. About strategy, the difference between us and the Bigo in overseas market, I think first, Bigo is very focusing on entertainment streaming or in overseas market. And the Nimo TV, Huya's overseas business arm is very focusing on the e-sports and game live broadcasting in the emerging markets and in the rest of the world. And until now, we don't have the plan for the short-video business in the overseas market. I think that's all the answers for your questions.
Operator: Your next question is from Lei Zhang from Bank of America Merrill Lynch. Please ask.
Lei Zhang: [Foreign Language] I will translate myself. Congrats on the strong results. My first question is regarding ARPU. Can you give us more color on the driver of the strong ARPU growth in the second quarter? And the gaming and non-gaming content, which grow faster in ARPU? And how should we look at ARPU churn in the following quarters of this year? My second question is regarding the PC MAU, which grow faster than mobile in second quarter. Can you provide more color on this? And how should we look at those web users? And we are seeing your new user guidance, how many users for mobile and other from PC? Thank you.
Henry Sha: Hi Lei. This is Henry. I will help to address your questions. So the first question about the ARPU, thank you for your questions. So actually, I think in this quarter, we are now providing more like incentive policy to the outdoor and talent agency companies to provide them with more incentive to work with us and to make more money with us. So I think the growth on ARPU are from like the gaming and non-gaming sectors, I think it should be similar, should be similar in the second quarter. So I think the policy we published to the outdoor and talent agency should be the main driver for the ARPU growth in the second quarter. About your question about MAU, so I think in our platform, so when you are watching maybe from H5 or maybe you open, you watch our content from browser on a mobile phone, it all comes into the PC, I mean the non-mobile MAUs. So in this quarter, two main drivers. First, I think the tournaments broadcasted within the Blu-ray resolution, the quality of the streaming content is quite high, which is the one of the attractiveness. Second, we enhanced our partnership with some of the major game studios in China, especially for like QQ Racing, for the Cross Fire, we have the cooperation with them called pop-up features. So when you are playing that game, there's a pop-up about we add a streaming content from that in-game play which is becoming another like a channel for us to broadcast, to distribute our contents to the gamers who are playing that games. So I think that's another driver why, as you can see, I mean, this all counts into the PC MAU. So why you have seen from like our earnings release that the PC MAU growing fast. So for the target about the MAU for this year, I think we are still working very hard to achieve to grow that mobile MAU growth more rapidly than from PC. So I think we are still thinking about trying to achieve more than half of the users come from like mobile for this year, also in the long run. Thank you, Lei. I think that all answers your questions.
Operator: As there are no further questions, now I would like to turn the call back over to the company for closing remarks.
Hanyu Liu: Thank you once again for joining us today. If you have further questions, please feel free to contact Huya's Investor Relations through the contact information provided on our website or TPG Investor Relations. Thank you.
Henry Sha: Okay. Thank you very much.
Operator: This concludes this conference call. You may now disconnect your line. Thank you.